Executives: F. Morgan Gasior - Chairman of the Board, President, Chief Executive Officer Elizabeth Doolan - Senior Vice President & Controller
Operator: Good day, ladies and gentlemen and welcome to the BankFinancial Corp's First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, the conference is being recorded. I would like to introduce your host for today's conference, Mr. F. Morgan Gasior, Chairman and CEO. Sir, you may begin.
F. Morgan Gasior: Thank you, good morning, welcome to our first quarter 2015 investor conference call. At this time, I'd like to have our forward-looking statement read.
Elizabeth Doolan: Okay. The remarks made at this conference may include forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. We intend all forward-looking statements to be covered by the Safe Harbor provisions contained in the Private Securities Litigation Reform Act of 1995, and are including this statement for purposes of invoking these Safe Harbor provisions. Forward-looking statements involve significant risks and uncertainties and are based on assumptions that may or may not occur. They are often identified by use of words such as believe, expect, intend, anticipate, estimate, project, plan or similar expressions. Our ability to predict results or the actual effects of our plans and strategies is inherently uncertain and actual results may differ significantly from those predicted. For further details on the risks and uncertainties that could impact our financial condition and results of operations, please consult the forward-looking statements declarations and the risk factors we have included in our reports to the SEC. These risks and uncertainties should be considered in evaluating forward-looking statements. We do not undertake any obligation to update any forward-looking statements in the future. And now I'll turn the call over to Chairman and CEO, F. Morgan Gasior.
F. Morgan Gasior: Thank you, as all filings are complete, we're ready to answer any questions that are out there.
Operator:
F. Morgan Gasior: Okay, well we're glad that the filings were complete and addressed peoples' needs. We felt we had a good stable quarter for first quarter. Little bit weaker on the loan originations than we originally anticipated, we had some closings drop off due to borrowers not really bringing their own payoff documents and misreading their payoff statements and things like that. But the good news is we felt pretty good about going into second quarter with the loan prospects and the loan opportunities in the pipeline. We're expecting second quarter to be fairly favorable, particularly for C&I lending, the healthcare pipeline is starting to build, we're actually closing our -- one of our first segment deals today and another one hopefully to follow in June. So that's looking promising.  And somewhat unusually for us -- our commercial real estate pipeline is a little bit larger than our apartment pipeline, but we think the apartment pipeline will catch up and start to assert itself late in the quarter and possibly in the third quarter. Leasing had a particularly good quarter seasonally and we're seeing better traction in the direct lessor space as evidenced by the usage and the bridge and the warehouse lines. Leasing to volume is still little spotty by market segment. But overall the tone of the industry seems to be improving a little bit and will probably do so further if rates pick up a little bit, because they are competing with cash dump.  Expenses were stable, first quarter is our seasonal high typically due to payroll taxes and some other factors, that should trail off during the course of the year. And fee income was stable, we're starting to see little bit trend north in the deposit fee income initiatives. We got our deposits product realignment ticked off in first quarter, rather late in the quarter, so we didn’t see much of an impact. But that should have some, small, modest but progressively positive impacts on fee income and also interest rate risk configuration going forward. So all things considered, we felt we had a stable first quarter and promising start to the second and third quarters.  Asset quality remained fairly stable, we had two borrowers that we felt we needed to take some more aggressive action on. One of them appears to may resolve itself as soon as the second quarter, and that was the larger of the two, so that's looking favorable. And I think we have a pretty good shot getting at or below the 1% mark, the non-performing loans by second quarter, maybe third quarter but right in that timeframe if everything continues to move forward as we see. And we're continuing to see interest in moving the OREO assets, less so the Downers Grove land. But still the income producing properties as we finish stabilizing and then move them off the books.  So '15 is off to a reasonable start, we're sure investors noticed the share repurchase announcement earlier this year that was a priority for the board and they moved with alacrity to accomplish that. Once we got through the 10-K filings then everything else was organized from a regulatory perspective and we were pleased of course announce the dividend.  So once again the full shareholder return program is moving forward on a variety of fronts and we look forward to seeing its impact as the course of the year rolls on. So we'll see if there're any more questions. One, going once, going twice and done. We hope everyone enjoys our deferred spring and I guess somewhere we'll talk to you after the annual meeting, thank you for your interest in BankFinancial.
Operator: Ladies and gentlemen thank you for your participation on today's conference. This concludes the program, you may now disconnect. Everyone have a great day.